Operator: Greetings. Welcome to Vaxart Business Update and Full Year 2022 Financial Results Conference Call. A question-and-answer session will follow management's opening remarks. Individual investors may submit written questions to ir@vaxart.com. As a reminder, this conference is being recorded. I would now like to turn the webcast over to your host, Brant Biehn, Senior Vice President, Business Operations. Thank you. You may begin.
Brant Biehn: Good afternoon, and welcome to today's call. Joining us from Vaxart are Andrei Floroiu, our Chief Executive Officer; Dr. Sean Tucker, our Founder and Chief Science Officer; and Dr. James Cummings, our Chief Medical Officer; and Phil Lee, our Chief Financial Officer. Before we get started, I’d like to remind everyone that during this conference call, Vaxart may make forward-looking statements, including statements about the company's financial results, financial guidance, its future business strategies and operations and its product development and regulatory progress, including statements about its ongoing or planned clinical trials. Actual results could differ materially from those discussed in these forward-looking statements due to a number of important factors, including uncertainty inherent in the clinical development and regulatory process, and other risks described in the Risk Factors section of Vaxart's most recently filed annual report on Form 10-K and other periodic reports filed with the SEC. Vaxart undertakes no obligation to update any forward-looking statements after the date of this call. I'll now turn the call over to Andrei Floroiu. Andrei?
Andrei Floroiu: Thank you, Brant, and thanks to all of you joining us today. We are pleased to share with you our corporate strategy update and talk about how we'll be progressing our transformational oral vaccine platform. As we said in the press release we issued this afternoon, we are prioritizing the development of our oral pill bivalent norovirus vaccine candidate, as we believe this to be the best strategy to position Vaxart for long-term success and maximize shareholder value. Our goal of this strategy is to focus most of our investments on the programs that have the greatest near-term potential to validate and progress our oral pill technology platform. Norovirus represents a very attractive target for Vaxart, because of the very compelling risk-reward profile of our program. I will highlight five dimensions here. The disease characteristics, the large commercial opportunity, the attractive competitive context, the compelling data we have generated so far and our near-term data readouts. So first, the key characteristic of norovirus and some infectious disease have not changed since we started working on our program, and we do not expect them to change. This is unlike COVID, which has been a constant moving target with emerging variants. Norovirus is less challenging for a company like Vaxart to develop a solution again. Second, the norovirus commercial opportunity is huge for a company of any size. An annual $10 billion disease burden in the US alone, with an estimated $60 billion burden globally. Third, competition for a norovirus vaccine is very limited. There is no approved vaccine anywhere in the world, and ours is the only oral program in development that we are aware of. And to our knowledge, there is only one other advanced program in development. Importantly, our oral enterically delivered mucosal vaccine could have significant advantages for an enteric mucosal infection when compared to potential injectable alternatives. Additionally, an oral pill vaccine has inherent convenience advantages in both key populations, kids and the elderly. The fourth point is that the data we have generated so far with our norovirus program is substantial and quite compelling. We have completed six clinical trials, enrolling 360 subjects in our norovirus program. And this does not include the two ongoing Phase II trials with top line data expected to read out this year. The immunogenicity data we have seen to date from the completing trials look consistently strong and the safety and tolerability data so far is benign. Additionally, as my colleagues will cover in more detail, our data in one key segment, the elderly, looks much better than what we would expect in this population, which is different than the data that has been seen with injectables. So, we have a lot of concrete data points here to make us very excited about the potential for the clinical success of our norovirus program. We'll highlight many of these aspects over the next few months in both scientific and investor events. MTF [ph], we have two important top line data readouts over the next six months. The first one is our Phase II dose-ranging study in mid-2023. And the second is our Phase II challenge study in the third quarter. Now, besides that, importantly, we believe that if the data generated from our norovirus program continues to be strong, we will have a range of value-creating options for taking the program forward. Mid to late-stage vaccine assets, addressing large markets are very attractive to many industry players. And these vaccine assets are quite rare, which is why JPMorgan this year, we've seen that there is a lot of interest in these type of assets. So, we believe this industry dynamic will translate into valuable optionality for us later on. Now, let me talk a little bit about our COVID-19 program. We continue to believe that the current injectable COVID-19 vaccines, leaves a lot to be desired and that the encouraging data from our program suggest that our platform could fundamentally change how we fight COVID-19 and pandemics in general. That being said, we have had to adjust our strategy to the continuous evolution of the COVID-19 pandemic and the changing perspective of important stakeholders, such as governments and regulators. Therefore, we decided to play to the strength suggested by our clinical data and focus on addressing pandemic preparedness by developing a pan beta coronavirus steps. One of the notable weaknesses of injectable COVID-19 vaccines has been their relatively narrow strain-specific activity, while cross-reactivity has been a feature of our mucosal oral feel vaccine. Vaxart activity will be essential for providing better protection against the virus that continue to evolve at a rapid rate and may scale the protection afforded by currently approved vaccines. Therefore, our broader focus on this better coronavirus approach means we will not proceed with the previously planned clinical COVID-19 trials. And as we advance new vaccine candidates, we will determine the best development plan going forward. Furthermore, we remain engaged in discussions with regulatory agencies, governments, non-governmental organizations and other strategic partners to maximize the value of all our vaccine programs and we will provide updates as warranty. While we very much value every member of the Vaxart team, we have taken the difficult but necessary steps to adjust our staffing levels with a 27% reduction in workforce, to reflect these new priorities and activities. With the change in program prioritization our cash runway now extend into the second quarter of 2024. And as James will discuss in a moment, we expect to achieve several important milestones within the Norovirus program between now and then. These milestones have the potential to support the continued advancement of the Norovirus program towards the Phase 3 trial, while also providing further validation of the promise of our oral pill vaccine platform. To showcase our differentiated Norovirus program and bivalent candidate, I am pleased to announce that we will be hosting a virtual key opinion leader call on March 28 at 1:00 P.M. Eastern Time, with several leaders in the Norovirus vaccine development. Sara Sarah Bartsch, PHICOR Projector Director at the Research Foundation of The City University of New York; and Jan Vinjé, Head, National Calicivirus Laboratory at the Centers for Disease Control and Prevention in Atlanta. We'll share their insights and perspectives on the global need for a safe, effective and readily deployable Norovirus vaccine. And with that, I'll turn the call over to James for a review of our Norovirus program.
James Cummings: Thanks, Andrei. I'm really excited about the potential of our oral Norovirus vaccine program, which could transform the vaccination paradigm globally, providing significant advantages compared to needle-based vaccines. We've already demonstrated robust immunogenicity data from our Phase 1 Norovirus clinical trials in both young adult and elderly populations. These data show that our bivalent vaccine candidate induced a robust immune response to include IgA antibody-secreting cell had an ASC response rate of 78% and for the GI.1 strain and 93% for the GII.4 strain with no interference observed. This means that the presence of GI.1 antigens did not interfere with the stimulation of an immune response against the GII.4 strain and vice versa. Importantly, our Norovirus candidate has an attractive safety profile in trials to-date that's well tolerated with no serious adverse events. And that's consistent with our platform. We believe it has the potential to reduce transmission as well. As stated in this afternoon's press release, a key component of our prioritization of the Norovirus vaccine program, is the expansion of the ongoing Phase 2 GI.1 Norovirus challenge study to include additional challenge cohorts. We believe that, the increased data set generated with these additional cohorts will improve the likelihood of identifying a correlative protection between immune responses to the vaccine and a reduction in risk of Norovirus infection, or acute gastroenteritis. Identifying a correlated protection may reduce the size and the duration of a Phase 3 trial. With the inclusion of the additional cohorts, we expect to report top line data from the Phase 2 challenge study in the third quarter of 2023. As announced last month, we initiated and dosed the first subject in the Phase 2 dose-ranging study of our bivalent norovirus vaccine candidate, a critical next step in advancing this promising candidate to a Phase 3 clinical study. Our bivalent vaccine is designed to target the prevalent strains of two norovirus genotypes, G11 and G24. They're the ones that cause the majority of norovirus disease in humans. Our oral pill bivalent norovirus candidate is differentiated from other norovirus vaccines development for the reasons Andrei has already noted. It creates both mucosal and systemic immune responses. We're customizing the presentation for different age courts. There's no need for refrigeration because it's stable at room temperature, and it's much easier to distribute, while eliminating the biomedical waste associated with administering injected needle-based vaccines. The Phase 2 dose-ranging trial is expected to enroll approximately 135 million healthy adults at three sites in the United States. The first 10 subjects received open-label high-dose vaccine and the remaining subjects will be randomized to high and low-dose vaccine or placebo. Each of the vaccine arms will have 50 subjects and the placebo arm will have 25 subjects. The primary endpoints are safety and immunogenicity in order to determine a dose level for Phase 3 development. We expect to report top-line data from the Phase 2 dose-ranging study in mid-2023. If successful, the next step would be a Phase 2b study, leading to an end of Phase 2 meeting with the FDA next year. In addition to the ongoing studies of our norovirus vaccine candidates in healthy adults, we expect to initiate a Bill & Melinda Gates Foundation funded clinical trial to evaluate the ability of our norovirus vaccine candidate to induce breast milk antibodies and transfer of antibodies to breast-feeding infants. If such transfer does occur, it could provide an important route for protecting infants from norovirus infection. This is especially important given the high incidence of norovirus infection in young children. We expect to initiate this study in 2023. Based on our growing body of data and the trials we have currently underway, we believe our bivalent norovirus candidate, has a potentially expeditious path towards submission and a potential FDA approval. We look forward to advancing our promising norovirus vaccine candidate that may benefit individuals, communities and health systems globally. I'll now turn the call over to Sean for an update on our novel COVID-19 constructs. Sean?
Sean Tucker: Thanks, James. The SARS-CoV-2 pandemic seems to be in a transition, perhaps turning into an endemic virus, yet the virus really is continuing to cause significant mortality or morbidity as well as to mutate. For these reasons, there is an ongoing risk that new variants will emerge and that the current vaccines will provide limit protection against these viral threats. We know regulatory guidance and the commercial opportunity continue to evolve. We believe that chasing the latest variance is not the best strategy for any company or for our society, given how long it takes to develop, manufacture and of course, administer that vaccine. Therefore, we are now developing novel constructs that could provide protection not only against the strains of SARS-CoV-2 are that are most prevalent today, but also against future strain. We believe that this more proactive approach will be essential for getting off the hamster wheel of COVID-19 vaccine development, bringing the pandemic under control and reducing the individual and societal impacts of an endemic infectious disease. Moreover, based on the substantial mucosal cross-reactivity data reported to-date from the Phase 1 and Phase 2a studies of our COVID-19 vaccine candidate, we believe that we may be able to potentially create an oral pan-betacoronavirus vaccine. SARS-CoV-2, the virus that causes COVID-19 is a sub-thesis of virus within the betacoronavirus genus as are other coronaviruses, a pan-betacoronavirus vaccine would make it easier to future-proof a vaccine, whether the emerging coronavirus threat with a new SARS-CoV-2 variant, SARS-CoV-1, MERS-CoV or some other betacoronavirus. Keep in mind, our clinical data for COVID-19 demonstrated, it is possible to use antibodies at the entry points for SARS-CoV-2 infection, the nasal and oral mucosa. These mucosal antibodies were cross-reactive to multiple SARS-CoV-2 strain as well as more distantly related betacoronaviruses, such as SARS-CoV-1 and MERS-CoV. It's important to note that SARS-CoV-1 and MERS-CoV were more deadly than SARS-CoV-2 and future betacoronavirus infection could also be more dangerous. Therefore, we believe that a mucosal antibody inducing the pan-betacoronavirus vaccine may be a valuable tool for pandemic preparedness. I'll now turn the call over to Andrei. Andrei?
Andrei Floroiu: Thanks, Sean. I want to take a moment now to welcome Phil Lee, Vaxart’s new Chief Financial Officer. Phil joined our team in December and brings nearly 15 years of experience in strategy, M&A and partnering on more than $20 billion in transactions. Speaking on behalf of the entire leadership team, we're excited to have him on board. Phil?
Phil Lee: Thanks, Andrei. The details of our financial results for the full year 2022 are summarized in today's press release. Vaxart ended the year with cash, cash equivalents, restricted cash and marketable securities of $95.7 million, compared to $114.8 million as of September 30, 2022. The decrease was primarily due to cash used in operations as we advanced our norovirus program. As Andrei noted earlier, these funds provide cash runway into the second quarter of 2024. I will now turn the call back to Andrei for his closing remarks.
Andrei Floroiu: Thanks, Phil. We are starting 2023 with significant momentum with the expansion of the Phase 2 GI.1 norovirus trial, and the initiation of our Phase 2 bivalent norovirus trial. We are very well positioned to generate the data we believe we will need to inform the design of a Phase 3 clinical trial that can support approval of our bivalent norovirus vaccine candidate. Moreover, with the update to our portfolio prioritization that we announced today, we believe we have the optimal strategy and resources to set ourselves on a course for success and future sustainability. The prioritization of our norovirus program will also provide us with several important milestones against which our investors can measure our progress. These milestones include, reporting top line data from the ongoing Phase 2 dose-ranging study of our bivalent norovirus vaccine candidate in mid-2023. Reporting top data from our ongoing Phase 2 channel study, for our G11 monovalent norovirus vaccine candidate in Q3 2023. And initiating in 2023, Bill & Melinda Gates Foundation-funded clinical trial to evaluate the ability of our norovirus vaccine candidate to induce antibodies in breast milk and transfer of antibodies to young infants. Finally, as I mentioned earlier, we will host a virtual key opinion leader call on March 28, at 1:00 p.m. Eastern time that will illustrate the differentiated nature of our norovirus program and our bivalent vaccine candidate. We hope you will join us for this exciting and informative virtual event. On behalf of Vaxart's leadership team, I'd like to thank you for your time today, and we are now happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question is from Charles Duncan with Cantor Fitzgerald. Please proceed.
Charles Duncan: Hi, good afternoon Andrei and team. Thanks for taking our question. Liking the focus on norovirus, I had a couple of questions there. With regard to the topline data mid-2023, I guess, I'm wondering if you could lay out maybe what you would like to see, maybe not so quantitatively, but what would you be encouraged by in terms of taking that data set to the agency? And would you anticipate that end of Phase 2 meeting by the end of 2023 or in 2024, I think you said early 2024, but could you be in a position to operationalize depending on funding for a Phase 3 by roughly this time next year?
Andrei Floro: James, do you want to take this?
James Cummings: Sure. Thanks, Charles. Thanks for the question. So in terms of the topline data from our Phase 2 dose confirmation dose ranging study, the topline data we'll have in mid-23 is based on 135 people, right, either receiving placebo or higher or low dose of our bivalent construct. I would say that what we're looking for with those reports are the immunogenicity as well as the safety profile of the product. Again, in our platform, we've seen a very consistent clean safety profile. And we'll see what that data looks like come midyear. In terms of our approach with the agency, and when an end of Phase 2 study would occur. After we have the results of that topline data, we'll be building the follow-on study -- Part B of that study, which will give us the numbers needed to go before the FDA. That would be probably -- well, I won't go into the details of how big, but it would be a larger size study based on the dose selected. And I would see that potentially taking place in 2024. Does that answer your question, Charles?
Charles Duncan: Yes, I think it does. We look forward to that data. The second question that I had was either for Andrei or Phil. Phil recently joined the firm, I guess I'm wondering if you could provide more color on the R&D spend, I think it was about $81 million in the year. How much of that was COVID versus noro? And then in terms of R&D spend that you anticipate for this year, what percentage of it is COVID versus noro kind of sticking with that same order of operations?
Andrei Floroiu: Phil, do you want to take a stab at this?
Phil Lee: Sure. So, I think the best way to get you the numbers is actually in the 10-K that we filed. What we disclosed there is the external spend for norovirus and COVID. But in terms of what's going forward, obviously, I think there has been a significant focus on norovirus and the trials -- the clinical trials that we're running there. So, you could largely think that the majority of our spend will be on norovirus, although we are continuing with other assets in our platform as well.
Charles Duncan: Okay, that's helpful. Last question on partnering. I guess my question is strategy. And so it's probably going to be an imperfect question or certainly answer takes two to tango. But with regard to moving into a longer, larger study of Phase 3 in noro, would you anticipate the data yet this year to be able to enable you to progress with partnering discussions, or would you rather take a candidate into Phase 2 yourselves? Thanks.
Andrei Floroiu: Hi Charles. So, I'll try to answer this question, even though as you can appreciate, it's a bit premature. So, I think the data that is going to come out in the third quarter, particularly the Challenge data, the Challenge data is seen as very important by investors and potential strategic partners, too. So, I think after that data will be a key decision point for us in terms of how we proceed further.
Charles Duncan: Got it. That's helpful. Thanks for taking my questions.
Andrei Floroiu: Thank you so much Charles.
Operator: Our next question is from Mayank Mamtani with B. Riley Securities. Please proceed.
Mayank Mamtani: Good afternoon team. Thanks for taking our questions and I also appreciate the timely pivot focus on norovirus. So, maybe just piggybacking on the prior comment. Andrei, could you talk a little bit more for the Challenge study, the rationale for expanded cohorts? And I think it would be helpful for investors to understand what levels of protection, be it asymptomatic efficacy or even transmission, you're looking to target in this data set? And if you are able to go a bit deeper on the types of immune correlates you're looking at, that also would be very helpful?
Andrei Floroiu: So James, do you want to take this question?
James Cummings: Sure. So Mayank, thanks for the question. In terms of the type of data to drill down into what we're looking at for the challenge study, essentially we're looking at protective efficacy, so looking at a reduction in symptomatic acute gastroenteritis secondary to norovirus. We're also looking at the potential for a decrease in shedding, viral shedding of norovirus. We all know it doesn't take a lot of norovirus to cause an infection. But if you can decrease shedding, you should decrease potential transmission. So those are two of the things we're looking at. And then another facet of that study, in particular, is looking at a correlates of protection. We feel that a correlates of protection is it could be key in sizing up our Phase 3 endeavors and looking at the potential to decrease numbers and/or time lines, for a Phase 3 study looking at a correlates of protection. This challenge is a G11 challenge. And our bivalent, I think, in that we're calling the dose-ranging study has G11 and G24. So we're keenly interested in what that correlates of protection may look like, and then sharing that with the FDA in discussions to get a read on how that might impact our Phase 3 study. Does that answer your question?
Mayank Mamtani: Yes, it does. And maybe if I ask – can I ask you to be a little more specific on the dose-ranging study for the bivalent. The dose levels that you're looking at, are they -- how do we compare against the monovalent work that you've done before? And what sort of answers that you're looking from there that you think would be very helpful with the regulators? And if there is a need for you to do bivalent specific challenge study, also before you start a Phase 3, if you could clarify that? Thanks again for taking the question.
James Cummings: Sure. Thanks. So in terms of the dosage levels of that study, and it's available on clinicaltrials.gov. We're looking at a bivalent of G11 and G24 to 5:10 [ph], which a total dose is 1:11 dose, right? In terms of the high dose, that's G24 and G11, that's a 1:11 per strain, for a total dose of 2:11. Now in our previous studies, we've had doses as high as 1:11. So this is a higher dose, and as I said, we'll be looking to maintain what we've already seen across our doses in this other vaccines, which would be a clean safety profile. In terms of other diarrheal diseases or diarrheal disease presentation while performing studies until we go into our Phase 3, certainly, we would collect any data in a Phase 2 if someone were to have acute gastroenteritis, but that would be exploratory only. These studies aren't really geared for that. That's where our Phase 3 study would come in. So I think the best way to look at this is leveraging what could be the benefit of our challenge study. As you know, in the adult populations, there's not a consistent transmission annually. It's more a selected by population. And so we would look forward to garnering a lot of knowledge from that challenge study in terms of potentially protective efficacy. Does that answer that question, Mayank?
Mayank Mamtani: Yeah, it that does. And maybe just one more question. Could you also touch on the requirement for you to initiate the breast-feeding mothers and infant study? And if you can comment quantitatively on how much funding you have or will receive from the Gates Foundation?
James Cummings: Well, I'll leave the funding questions to those people who dabble in those arts. But from my standpoint, that look at study in lactating postpartum women, where we would give our oral tableted vaccine to women who've already delivered babies, so they have a breast feeding infants to measure a couple of things; one, looking, of course, to ensure that we're safe, but looking at the amount of antibody that we find in the breast milk. I think that's very important, and that's part of this study. And then the second piece is looking at the amount of antibodies against norovirus, we find in the infants faeces or stool. So looking at passage or transfer, of those antibodies in breast milk, I think, is very important. And from our standpoint, this may be a way to protect some of the most vulnerable populations by implementing a vaccination strategy on the lactating mom. I’ll leave the question of dollar amounts, et cetera, to others on the call. Andrei, Sean, Phil, would you like to comment?
Andrei Floroiu: Yeah. So, Mayank, we're not going to provide details on the dollar amount here. We just said that this trial is -- was co-founded by the Gates Foundation and us. And we're just going to leave it there.
Operator: We have reached the end of the phone questions-and-answers. We now turn the conference back over to Brant for any online questions.
Brant Biehn: Fabulous. Yeah, we've got a number of online questions. I'm going to start off. Andrei, this one is going to be for you. The question is why prioritize norovirus, why make that decision now, and why didn't we make the decision earlier? Andrei.
Andrei Floroiu: Yeah. Thank you, Brant. So we really believe that we have one of the leading norovirus vaccine candidates, and it's important to emphasize that, and our decision to focus on the norovirus program followed an extensive strategic review of our business and a review of our entire pipeline candidates, including looking at what would be the fastest path to commercial product for us, as well as the most efficient way for us to maximize our current resources. So the reason we prioritize norovirus is because overall, it presents the best risky worth profile for us in the near-term. As we mentioned, we have two very important data readouts this year, one midyear and one in the third quarter. And we do see progressing or advancing the norovirus program as being the best way for us to validate our program, our platform and to position us for long-term success. And importantly, the updated cash runway extends well beyond those two data readouts. So I think that's important for investors to know.
Brant Biehn: Excellent. Thanks, Andrei. So focusing on the cash runway, there's a number of questions on norovirus. Still, this is going to be for you. And they all relate to norovirus try and summarize the scope of all the questions that we're getting. So can you complete a Phase 3 study in norovirus without additional funding? What's the projected cost and duration of a Phase 3 study? And does your cash runway include a Phase 3 study? Phil, passing that over to you.
Phil Lee: Sure. Thanks, Brant. So the guidance of our cash runway is into Q2 2024. And that does include the cost associated with all our existing norovirus Phase II studies as well as the Gates Foundation-funded study planned for later this year. What it doesn't include is the projected cost to conduct a Phase 3 trial, and we aren't really providing guidance on the cost of a potential Phase 3 trial at this time.
Brant Biehn: Excellent. Thanks, Phil.
Phil Lee: Thank you, Brant. James, this one is on norovirus for you on the clinical study. So the question is the norovirus again, presuming you obtained positive data from Phase 2 studies, when would the end-of-Phase 2 with FDA meeting take place? And what's your timeline to design and initiate a Phase 3 trial? James?
James Cummings: Thanks. Presuming we have positive data from the Phase 2 studies, we expect an end-of-Phase 2 Meeting would be next year 2024. The Phase 3 trial could begin as early as next year as well and that will be in concert with guidance from the agency. Over.
Brant Biehn: [indiscernible] Excellent. Thank you, James. Andrei, this one is going to be for you and really just talking about funding. What's the prospect for U.S. and international government funding whether it's from the U.K., BARDA, et cetera. Andrei, over to you.
Andrei Floroiu: Well, this is -- it's a difficult question to answer particularly now as we perceive the interest and attention of various governments and governmental agencies have shifted. So it's hard to predict what governments are going to do. We remain in contact with important agencies, both here in the U.S. and abroad, and we continue to believe that our oral pill vaccine platform could play a transformational role in fighting pandemics in general. So again, we continue to have those communications, but it's hard to predict the outcome.
Brant Biehn: Thank you, Andrei. Phil, this is another question on share price for you. When there's, a number of them, I'll just answer one, but there's a lot of questions about the same thing. Will there be a reverse split to get the shares over $1? If so, what's the ratio? Phil, I hand that over to you.
Phil Lee: Sure, Brent. So we believe we have key catalysts that would really drive the potential interest in our stock price in the next two quarters, as we mentioned earlier on this call, those costs do include a top line data readout for our Phase 2 dose-ranging study as well as the top line data for our Phase 2 challenge study for norovirus. In terms of a reverse split, we don't believe we need one at this time.
Brant Biehn: Excellent. Thank you, Phil. Well, that wraps-up our questions for today. Ms. Terry [ph], I hand it back to you.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time. And thank you for your participation.